Operator: Good day, ladies and gentlemen, and welcome to the ExlService Holdings Fourth Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we'll conduct a question-and-answer session and instructions will be given at that time. As a reminder, this call is being recorded. I'd now like to turn the conference over to your host for today, Mr. Steve Barlow. Please go ahead.
Steven N. Barlow - Vice President, Investor Relations: Thank you, Stephanie. Hello, and thanks to everyone for joining EXL's fourth quarter and full year 2015 financial results conference call. I'm Steve Barlow, EXL's Vice President of Investor Relations. With us here today in New York is Rohit Kapoor, our Vice Chairman and Chief Executive Officer. Vishal Chhibbar, our Chief Financial Officer, is not here today owing to a death in the family. Pavan Bagai, our President and Chief Operating Officer, will be handling the CFO remarks and is with us here in New York. We hope that you've had an opportunity to review our quarterly press release we issued this morning. We've also updated our investor factsheet in the Investor Relations section of EXL's website. As you know, some of the matters we'll discuss in this call are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to, general economic conditions, those factors set forth in today's press release, discussed in the company's periodic reports and other documents filed with the Securities and Exchange Commission from time to time. EXL assumes no obligation to update this information presented on this call. During our call today, we may reference certain non-GAAP financial measures, which we believe provides useful information for investors. Reconciliation of these measures to GAAP can be found in our press release as well as the investor factsheet. Now, I will turn over the call to Rohit Kapoor, EXL's Chief Executive Officer.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Thank you, Steve. Good morning, everyone, and welcome to our fourth quarter 2015 earnings call. I am extremely pleased with our performance and results in 2015. We delivered on the goals we set for ourselves at the beginning of the year and leveraged a robust demand environment to our advantage. Our strategy of building differentiated capabilities and focusing on investments in our chosen domains paid off. We achieved a market-leading growth rate and, simultaneously, improved profitability. We finished the year with revenues of $628.5 million, and an adjusted EPS of $2.03. On an annual basis, we grew revenues 19.6%, while our organic growth rate, excluding client transitions, at constant currency, was a healthy 14.6%. In 2015, our revenues improved sequentially each quarter. In addition, the execution of our multi-pronged profitability improvement plan resulted in a higher adjusted operating margin of 14.9%. Our clients have been challenged to grow and remain profitable in a disruptive business environment. As they look to build customer-centric, agile and competitive operating models, they are turning to EXL for two major reasons. One is to design and run best-in-class operations that deploy emerging technologies and domain expertise within a global delivery model. And second is to convert the vast amounts of data generated by digital technologies into meaningful insights for impacting their business. In order to deliver on these two market needs, we have modified the way in which we manage our business. You will notice that in our earnings report, we have changed our segment reporting to align with this new approach. The new segments are Operations Management and Analytics. Operations Management includes EXL Consulting, formerly known as Business Transformation; and Analytics is now a stand-alone reporting segment. Each of these segments offers exciting opportunities for EXL. First, let me elaborate on Operations Management. Many clients are investing in major transformation programs that focus on digital enablement, automation and redesign of their operating models. EXL is now in a very unique position to assist these clients from design to execution of their front, middle and back office operations. EXL Consulting helps design agile, cost effective, and customer-centric operating model. For execution, we leverage our business EXL rate of framework, suite of cloud-enabled BPaaS solutions, and advanced automation capabilities. We are excited that our clients see tremendous value in applying the business EXL rate of framework to create end-to-end best-in-class operations that have embedded analytics in order to drive better business outcomes. For example, we have been working with leading P&C insurers across the U.S. and UK to drive ease of doing business with agents and to optimize the entire underwriting process. We've redesigned their operating model using automation tools and robotics to simplify new business submissions and to improve speed to market. We also embedded real-time analytics to improve the underwriting decisions. Now, let me talk about Analytics. As clients seek to improve business outcomes and customer experience, they are increasingly investing in digital technology. This generates high volume, high velocity and high variety data. A need then emerges to manage, manipulate and interpret this vast amount of data. EXL Analytics, with its core competencies in advanced data science and domain expertise, is uniquely positioned to help clients meet these objectives. For example, EXL Analytics built a next-generation analytics platform that is serviced through the cloud for one of our healthcare clients. This platform enables instant decision-making across marketing and risk, and provides the client with faster time to market and more flexibility in downstream operations. An illustration of how we helped the client become more customer centric is from our RPM business, where we are using a combination of offline data, proprietary scoring models and our real-time decisioning platform to help a multi-line insurance carrier design a best-in-class consumer journey for their online sales process. Today, EXL generates about 20% of our revenues and we are very excited by its potential to continue to grow rapidly and deliver superior business outcomes for our clients. Next, I would like to highlight a few of our achievements in 2015. One, we added many new clients to our portfolio, including multiple strategic Operations Management wins. Overall, we had 34 new business wins in 2015, up from 26 in 2014. The key reasons for winning these strategic deals included: A, experience and credibility in our chosen domains; B, practical solutions, which integrated technology and analytics, while being cost effective and lower risk; and C, speed of execution and strength of our service delivery team. We expect these deals to provide strong momentum for growth in 2016. Number two, we expanded our relationships with key accounts and executed well on our land-and-expand strategy. Our top 30 clients grew by over 15%, while the number of clients, where we have greater than $1 million in annual revenues, has also increased to 92 in 2015 from 69 in 2014. Our account management teams remain focused on cross selling additional services, while continuing to grow existing accounts. An example of how we have grown our partnership involves an insurance P&C company, where several years ago, we were initially given a mandate to process only claims. Today, we have become a strategic partner for this client, providing Operations Management support in underwriting and finance and accounting, as well as BPaaS solutions that deliver medical record summarization and legal services. In addition, we provide them consulting and analytical services. We have doubled the client's revenue contribution in 2015 from 2014 with strong potential for growth in 2016. Number three, we strengthened our leadership position in Analytics, delivered high growth and, at the same time, improved profitability. Our Analytics revenue grew 86.2% in 2015, including a $32.8 million contribution from RPM Direct, which we acquired in the first quarter of 2015. Organically, Analytics continues to grow extremely well at 39.2% for the year. In addition to our strong position in banking, insurance and healthcare, EXL Analytics also entered the retail and capital market industries. Our Analytics go-to-market strategy targets a variety of business stakeholders, including Chief Risk and Compliance Officers, Chief Marketing Officer, Chief Data Officer and product heads with integrated outcome-based analytics solutions. Talent is a key differentiator in Analytics, and EXL is the recruiter of choice at top engineering and premier business schools in India. We recently concluded the finals of the annual case study competition, EXL Excellence Quotient 2016, at our state-of-the-art analytics office in Gurgaon, India. We started this competition in 2011, and it has been a successful recruiting tool to attract the best talent, while also strengthening our brand. Lastly, our Analytics business showed that we could sustain rapid growth, while improving profitability. This was made possible due to, one, EXL having two-thirds of our Analytics business in the form of long-term annuity contracts; and two, pricing for the value we deliver; three, resource optimization; and four, new transaction and outcome-based engagement models. Number four, we expanded our global footprint substantially. Our center in Bogota, Colombia is operational. And we are currently providing clinical and contact center services for U.S. healthcare companies that need bilingual capabilities. Our South Africa center has had a terrific start with high-quality service delivery that supports UK and European clients with English language contact center and back office services. Additionally, we have opened a sales office in Australia and are seeing early interest in our services there. Number five, I'm pleased with the execution of our profitability improvement plan. Our actions were focused on driving sustainable change to our operating model without sacrificing growth and investment in capabilities. These changes that included cost reengineering, pricing, infrastructure optimization, better resource utilization and enhanced productivity were reflected in our financial results in 2015. Our success in 2015 led to EXL being recognized by multiple industry analysts. We were recognized across our domain, validating our strong market position. Details of all these recognitions are included in our press release. And finally, before I discuss 2016, I wanted to mention that we recently appointment Nitin Sahney to EXL's board of directors, effective January 1, 2016. Nitin has deep healthcare experience, most recently, as the CEO of Omnicare and we look forward to his strategic counsel. As I look back at what we have accomplished over the last two years and as I look ahead to 2016, I am very excited about EXL's future for several reasons. One, the demand environment remains strong. We believe we are in underpenetrated and growing markets. The markets for Operations Management and Analytics are large and growing. Number two, our suite of capabilities position EXL to capitalize on these opportunities. Number three, we have a strong runway for growth in our chosen domains. Our sharp focus on a few core verticals over the last several years has enabled us to build domain expertise and specialization, which is deeply valued by the market. Number four, we have a large portfolio of Fortune 500 and Global 2000 clients where we have strong relationships and an excellent track record of service delivery. The opportunity to partner strategically and grow these relationships is large. And number five, speed and agility are crucial to success in today's disruptive and challenging environment. EXL has shown the ability to pivot and continuously upgrade our capabilities to cater to the evolving needs of our clients. I feel confident that we have the right team in place to continue to innovate and deliver value to our clients. Before I finish, I wanted to share with you a few focus areas for 2016. We will focus on, one, winning new strategic deals and ramping up our recent wins with excellent service delivery. Number two, expanding our existing client relationships by introducing our clients to the full suite of EXL's services across Operations Management and Analytics, including our technology and consulting offerings. Number three, upgrade our capabilities including the next generation of Business EXLerator framework, advanced automation, including robotics and new BPaaS solutions. Number four, continue to expand our margin and achieve higher returns on the investments we have made. And number five, leverage M&A, a key lever for acquiring new capabilities. The success of EXL is due to the dedication and passion of our more than 24,000 global employees. And together, we believe, there is always a better way to solve our clients' problem. Additionally, our clients' trust is of utmost importance to us. And we feel privileged that they continue to choose EXL to help them deliver on their business objectives. In summary, we expect the momentum that began in 2014 and accelerated through last year to carry us into 2016. I look forward to 2016 being another great year for EXL. With that, I will turn the call over to Pavan, who is covering for Vishal today.
Pavan Bagai - President & Chief Operating Officer: Thank you, Rohit, and thanks, everyone, for joining us this morning. I would like to start off by providing insight into EXL's financial performance for the fourth quarter and full year 2015, followed by guidance for 2016. As Rohit mentioned, we have changed our reporting segments to align them in line with how we manage our business. Revenues and expenses related to Business Transformation, which were previously part of the Analytics and Business Transformation segment, are now included in Operations Management. Analytics is now reported as a stand-alone segment. The quarterly and annual results for 2013, 2014 and 2015 have been reclassified with the new definitions and are now available in our factsheet in the Investor Relations section of our website. We will also be updating the relevant sections in our 10-K. I will be referring to the new segment definition throughout my discussion. Unless otherwise stated, all numbers mentioned are excluding disentanglement costs of a transitioning client, which was accounted for in 2014. There were no disentanglement costs in 2015. I will begin by talking about our financial performance for the fourth quarter. Revenues for the quarter were $165.9 million, up 15.3% year-over-year, or 16.8%, on a constant currency basis. Organically, revenues were up 14.4% year-over-year, on a constant currency basis, excluding transition clients. Sequentially, revenues grew 1.4% or 1.8%, on a constant currency basis. Operations Management revenues grew 3.7% year-over-year. Organically, Operations Management revenues were 9.5% (sic) [up 9.5%] (19:09) year-over-year, on a constant currency basis, excluding transitioning clients. Analytics revenues grew 92% year-over-year, including $9.8 million contribution from RPM. Organically, Analytics grew 41.6% year-over-year, on a constant currency basis. The revenue growth was led by clients from the healthcare, and banking and financial services verticals. This revenue achievement marks the eighth consecutive quarter where revenues have grown over 35% year-over-year. Sequentially, Analytics revenues increased 3.1% on a constant currency basis. Gross margin for the quarter declined by 50 basis points year-over-year to 36.0%. This was driven by the impact of transitioning clients and a lower gross margin profile of acquired businesses, partially offset by productivity improvements and foreign exchange tailwinds. Sequentially, gross margin declined by 90 basis points. This was driven by a 70 basis points impact due to higher employee costs and 20 basis points due to the seasonality of RPM and our Consulting businesses. Operations Management and Analytics gross margin for the quarter were 36.6% and 34.0%, respectively. Adjusted operating margin improved by 60 basis points year-over-year to 14.7% driven by operating leverage and a foreign exchange tailwind, partially offset by the impact of lower gross margins, as explained earlier. Sequentially, adjusted operating margin declined by 230 basis points due to investments in key initiatives in sales and marketing, robotics and in product development. Adjusted EPS for the fourth quarter was $0.56, up $0.08 year-over-year driven by a strong revenue growth and improved operating margin, as mentioned earlier. DSO for the quarter was 50 days, down 4 days compared to last quarter. Now, turning to our 2015 annual performance. For the year 2015, we delivered revenues of $628.5 million, which represents a growth of 19.6% over 2014. Organically, revenues were up 14.6% year-over-year, on a constant currency basis, excluding transitioning clients, indicating that our growth is meeting our expectation of consistent double-digit organic revenue growth. Operations Management revenues increased 10.1% from 2014. Organically, revenues were up 10.6% year-over-year, on a constant currency basis, excluding transitioning clients, which is the highest level of growth since 2012. Analytics revenues grew at 86.2% in 2015, including a $32.8 million contribution from RPM. Organically, revenues were up 39.2% year-over-year, on a constant currency basis, excluding transitioning clients. For 2015, Analytics was 19.4% of total revenues compared to 12.5% in 2014. For the year, gross margin for EXL declined by 80 basis points to 35.9%. This was driven by the impact of transitioning clients and the lower gross margin profile of acquired businesses, partially offset by higher volume, better utilization, productivity improvements and a foreign exchange tailwind. SG&A costs increased by 30 basis points year-over-year to 20.2%, driven by investments made in our front-end team, capability development and employee engagement initiatives. Adjusted operating margin improved by 10 basis points year-over-year to 14.9%, driven by productivity improvement, operating leverage and a foreign exchange tailwind, which was partially offset by the negative impact of transitioning clients and lower gross margins of acquired businesses. Adjusted EBITDA for the year was $114.9 million, an increase of 15.5% from $99.4 million in 2014. Foreign exchange gain for 2015 was $2.7 million, despite a 5.1% depreciation of the rupee against the dollar, and a 2.6% depreciation of the Philippine peso versus the dollar, as a result of our systematic cash flow hedging program protecting our pre-tax income. The effective tax rate for the year was 32.0%. And excluding one-time discrete items, our effective tax rate for 2015 would have been 28.8%. Adjusted EPS for the year was $2.03, up 11.2% over 2014. Our balance sheet remains strong with $219 million of cash, cash equivalents and short-term investments, compared to $188.1 million in 2014. Our net cash position at the end of the year was a healthy $149.4 million, after spending $44.3 million on the strategic acquisition, $25.6 million on capital expenditures, and $14.2 million on share repurchases. Our continued focus on collections and generating operating cash flows resulted in $96.7 million of cash from operations in 2015, as against $66.6 million in 2014. I will now provide some insight into our guidance for 2016. Based on current visibility, and a rupee/dollar exchange rate of INR 68, and other currencies at current exchange rates, we are providing revenue guidance of $690 million to $706 million, which assumes an adverse foreign exchange impact of approximately $9 million to $10 million or 1.5% at current exchange rate. We expect revenue growth to be in the range of 10% to 12% or approximately 11% to 14%, on a constant currency basis. The main drivers of our revenue growth outlook are increased spending by our current clients, ramp-ups from 2015 strategic wins, and a strong pipeline. We expect adjusted operating margin to increase in 2016 by 80 basis points to 100 basis points due to the margin improvement levers we employed in 2015, which will continue to have positive effect in 2016. Further, we will continue to make investments in technology, products and capability development. The contributors to our adjusted operating margin increase are 30 basis points to 50 basis points from our operations, and 50 basis points from foreign exchange. For 2016, effective tax rate should be in the range of 29% to 30%, and we expect our foreign exchange gain to be between $2 million to $3 million. Our capital expenditures should be in a range of $25 million to $30 million. Our priorities for free cash flow in 2016 will be to invest in our business and operations to support our growth trajectory, look for acquisitions that expand our capability set, and to repurchase shares. Based on the above, we are providing adjusted diluted EPS guidance of $2.25 to $2.35, an increase of 11% to 16%. In terms of quarterly trends over the course of 2016, the first quarter revenues and adjusted EPS are expected to be flat on a constant currency basis. In conclusion, we had an extremely strong 2015 in both of our operating segments and delivered organic revenue growth of 14.6%, on constant currency basis, excluding impact of transitioning clients. We have high visibility for our 2016 revenues and expect to achieve higher profitability in 2016. And now, Rohit and I would be happy to take your questions.
Operator: Thank you. Our first question comes from Anil Doradla with William Blair. Your line is open.
Anil Kumar Doradla - William Blair & Co. LLC: Hey, guys. Congrats on the continued solid execution. I had a couple of questions. So, Rohit, you talked about 2016 expectations. Given now that Analytics is roughly 20% of your revenue composition, how would you characterize your visibility for the whole year and compared with, say, previous years?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Thanks, Anil. I think, for us, the visibility continues to be same as in previous years. What we do have is a strong growth momentum because we signed up some major strategic clients in 2015. And the ramp-ups associated with those wins will take place over the next couple of years. So, we think we've got strong growth momentum associated with those wins in 2015. We continue to see good demand for our services in Operations Management and, therefore, expect to win several new deals in 2016 as well. On the Analytics side, our business continues to grow very, very nicely. The acquisition of RPM has been fully integrated into the Analytics business, and we would expect that that business continues to grow nicely as well. And there is good strong visibility because two-thirds of our business in Analytics is on an annuity-basis.
Anil Kumar Doradla - William Blair & Co. LLC: Very good. So, is it fair to characterize that FX was a tailwind in 2015, but is turning out to be a headwind in 2016. Did I understand that correctly?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: No. I think FX for revenues of EXL has been a headwind in 2015 as well as 2016. In 2016 as compared to 2015, the headwind from FX on revenues is between $9 million to $10 million, as Pavan mentioned.
Anil Kumar Doradla - William Blair & Co. LLC: So the $2.7 million FX benefit that you saw in 2015, that was?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Anil, the $2.7 million of FX gain is actually to our income line.
Anil Kumar Doradla - William Blair & Co. LLC: Okay.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: And that is the foreign exchange gain on the hedging contracts that we had in place. But when we talk about the revenue, we don't hedge revenue with FX.
Anil Kumar Doradla - William Blair & Co. LLC: Right. Right. Very good. Thanks for that clarification. And finally, on the top client, we saw that being down. Is it a reclassification of the top client? Or did you see certain dynamics playing out in your top client?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yeah. I think what we are seeing is good growth amongst all our clients, including our top clients. We have looked at our clients working with us across multiple service lines. And there is a change in the way in which we are classifying our top lines doing work with us in multiple service lines. And so that's a consequence of that.
Anil Kumar Doradla - William Blair & Co. LLC: So basically, what was considered a top client is split now amongst a couple of clients? Is that a right way of looking at it?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yeah.
Anil Kumar Doradla - William Blair & Co. LLC: Okay. Very good. Excellent. All right. And one final thing, if you don't mind. Attrition has come down quite a bit. Any commentary there?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: I'm sorry. Could you repeat your question, Anil?
Anil Kumar Doradla - William Blair & Co. LLC: The attrition, so...
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yeah. Attrition I think has trended down positively in the fourth quarter of 2015, but we also think that's something that happens each year in the fourth quarter where we see attrition trending down. I think the more important metric is to compare attrition rates year-on-year. And in 2015, our attrition rate actually came down as compared to 2014. And our goal is to try and sustain that downward trend and continue to improve our metrics on attrition.
Anil Kumar Doradla - William Blair & Co. LLC: Very good. Congrats, guys, and looking forward to a great 2016.
Operator: Our next question comes from the line of S.K. Prasad Borra with Goldman Sachs. Your line is open.
S.K. Prasad Borra - Goldman Sachs International: Thanks for taking my question. Rohit, can you elaborate on the head count plans you have for 2016? You obviously talked about some of the big deal wins, which you have seen in 2015, especially in context of as you ramp up the BPaaS business and Analytics, which is probably less dependent on head count, how should one think about the growth what you see for 2016 and seasonality associated with it?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Right, S.K. I think for us, most of the strategic planning that we do is not really based on head count. What I will say is that the growth that we are seeing is actually becoming fairly non-linear for us. And it's not directly correlated to the employee head count. The reason for that is we now have a much higher percentage of revenues coming in using our BPaaS solutions and using technology and automation. We have obviously a much faster growth rate in Analytics, where the revenue head count increases are much less as compared to Operations Management. So, what we are seeing is that we are able to sustain the higher revenue growth with lesser addition to head count. As such, I think that that's a trend that's going to continue to go and one of the metrics that we continue to drive forward with is to try and increase the revenue per head count and that is going to be a focus of EXL going forward.
S.K. Prasad Borra - Goldman Sachs International: That's great. And, Rohit, when you think about the verticals, you obviously have a very strong position in insurance and you seem to be making good in-roads and further increase your presence in healthcare. In terms of verticals, which you think are very, very under penetrated and where you'd probably want to focus your efforts, so, let's say mid-term, can you identify any of those end markets where you see huge potential?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Well, the two verticals that you alluded to are quite different in terms of their profile. So, the insurance industry vertical for us is a large market. It has the overall slow growth but it is highly under-penetrated. And the phase of change within insurance carriers continues to be slow and there continues to be a tremendous room and opportunity for us to expand our share of business with insurance carriers. Insurance carriers, we also believe are much more of followers, and so, therefore, they tend to follow some of the more agile industries in terms of the adoption of technology and change of their operating model. And we are now beginning to see that trend being adopted by the insurance carriers, and that's playing to our favor. But the healthcare industry, by contrast, is characterized by significant regulatory change and a huge amount of growth rate that's taking place in the healthcare business. And because of the regulatory change and the growth that's taking place in the healthcare industry vertical, we are seeing a tremendous opportunity for our services in healthcare.
S.K. Prasad Borra - Goldman Sachs International: Okay. And probably just last one, in terms of the changes you're seeing in the sales cycle, obviously, you're getting lot more revenues from solutions like BPaas and analytics and robotics. Is it resulting in your sales cycle actually shortening? And are you making any changes to your go-to-market strategies to adapt to that? And congratulations again on a solid quarter.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yeah. I would say that the sales cycle remains the same. We haven't really seen a shortening of the sales cycle. But the complexity and the quality of – and the characteristics of the sales cycle have shifted. So, today, there is a much greater focus on solutioning and making sure that we can architect a creative solution for our clients that involves the use of advanced automation, robotics, BPaaS, analytics and use multiple levers to be able to provide our clients with the benefit. And the other change that we are seeing on the sales cycle is, in the past, we would have many situations where we would pursue a prospect. And at the end of the cycle, the client would actually sometimes delay or postpone their decision-making. We are now seeing less of that delay and postponement, and we are seeing a greater amount of adoption of outsourcing. And that actually helps us in terms of getting to a result on a sales pursuit.
S.K. Prasad Borra - Goldman Sachs International: That's great. Thank you.
Operator: Our next question comes from Ashwin Shirvaikar with Citi. Your line is open.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Thanks. Hey, Rohit. Hey, Pavan. A good quarter here. My question is really on, as you think of revenue growth this year, I think Pavan had mentioned the pipeline for this year as well in the possible revenue drivers. And I thought that was a little unusual unless you have some good visibility into wins early in the year just because of how these wins tend to ramp. So can you talk about the visibility that you have in your pipeline?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Thanks, Ashwin. I think there are two aspects to the growth. One is the clients that we signed up in 2015 and the growth that's going to emerge from those signed strategic wins. And the second is the wins that we expect to get in 2016 from our pipeline. The one thing which has happened is, in the past, typically when we would win deals, our pipeline would diminish in size because many of these deals would go out of the pipeline. What we are seeing is, actually, the pipeline is being refilled with new deals and, therefore, the opportunity for us to acquire new clients remains high. We're also seeing that our prospects are trying to base their decisions much earlier in the year. And therefore, the pace of activity in Q1 remains high and we are encouraged by what we might be able to accomplish with this pipeline for calendar year 2016.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): That's good to hear. Do you know what is driving this push towards finishing up decision making? I mean, what is driving the seeming acceleration in decision making?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: I think, fundamentally, what we are seeing is that growth for our clients remains sluggish, and the drive to reduce cost remains high. And not only is the drive to reduce costs high, but there is a real urgency to deliver the cost reduction. The urgency to deliver cost reduction is forcing our clients to take earlier decisions and move towards strategies that will give them guaranteed benefits in a particular calendar year or a fiscal year. We're also seeing our clients make public comments and commitments in terms of cost reductions that they're going to achieve within a stipulated timeframe. And as they make these commitments, I think their decisions to execute on these commitments remains firm and we're seeing a much greater level of activity associated with that.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Okay. Understood. One more question, you mentioned initiatives in both sales and marketing and robotics. And can you update us on the size of the sales force currently? And what do you expect to get to by the end of this year? As well as, when you say robotics, are you talking about robotic versus automation or is it more on the artificial intelligence side of things? Any comments there? What's specific in that decision making?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: So, on sales and marketing, our investment is going to increase and we're going to increase that investment on two fronts. One is on improving our brand and our marketing focus, and the other is to increase the number of resources that we have on the front-end both for sales as well as for account management. And we continue to make conscious investments in this area to try and be closer to our customers and to form intimate relationships with our clients and enable the growth that's taking place based on the client wins that we've had and the ability to cross sell new service lines to our existing client portfolio. Within robotics, we really classify robotics within a category of advanced automation. And for us, advanced automation includes intelligent technology tools. It includes robotic process automation. And it includes tools that apply intelligence. I don't think we've reached the stage of applying artificial intelligence as yet. But it's much more focused on creating much higher levels of productivity, effectiveness and efficiency related to our processes. We've got a number of tools that we've created and a number of bots that we've created which are organically developed and are EXL proprietary IP. And at the same time, we also have formed a number of partnerships with third-party service providers in robotics to be able to take this to market on a joint basis to our clients. And we're seeing that this approach of developing our own capabilities as well as partnering with the best of breed providers is allowing us to play as a differentiated player in the marketplace.
Ashwin Shirvaikar - Citigroup Global Markets, Inc. (Broker): Got it. It's good to hear. Those were all my questions. I'll follow up with (43:33) later. Thanks. Bye.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Thanks, Ashwin.
Operator: Our next question comes from Joseph Foresi with Cantor Fitzgerald. Your line is open.
Joseph Foresi - Cantor Fitzgerald Securities: Hi. So, I guess, we're exiting the year, if I caught it correctly, at a maybe 14% organic growth rate. And it sounds like the pipeline is very good, and it sounds like business and activity is fairly high. Maybe you could just talk about the exit of the year versus next year, the build in revenues, because I believe the top end of guidance is kind of similar to this year, but it sounds like you got a lot of good things going on. So, maybe you can just comment on that.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Sure, Joe. So, the guidance that we have provided calls for EXL as a company to grow between 11% to 14% on a constant currency basis. And if you see that growth rate, it is pretty consistent with a growth rate that we achieved in 2015. What I would say is that if you take a look at our two reporting segments, we've always said that we expect Operations Management to grow at about 8% to 10%, and we expect Analytics to grow at a much faster pace of somewhere between 20% to 25%. And it's really the combination of these two reporting segments that results in our growing at 11% to 14%. Obviously, as we go along in the year and as our revenue materializes, we will get greater visibility in terms of where we're going to land for the full year 2016.
Joseph Foresi - Cantor Fitzgerald Securities: Got it. Okay. And then on the margin front, I think you're talking about some margin expansion, maybe you could break that down into how and where that margin expansions going to come from and even if you could give us a little color on the margins for each segment, if you're comfortable.
Pavan Bagai - President & Chief Operating Officer: So, Joe, the margin expansion is – there are two or three elements to it. One is, obviously, there were a number of profitability improvement initiatives that we undertook in 2015 and we talked about some of these in terms of productivity improvements, pricing changes, cost optimization. We expect to see the full benefit, the full annual benefit of that in 2016. So that is the major contributor to the margin expansion. There is also the issue of the FX tailwinds and I think this question was raised earlier by Anil in terms of the confusion about whether it's a tailwind or a headwind. It's a headwind for revenue but it's a tailwind for profitability and I think that is what I mentioned in my remarks. So, it's a combination of these two factors that lead us to estimate an improvement in margins in 2016. In terms of the breakup between the two business lines, we expect to see – the improvement is broadly going to be equal, and, so, the contributory factors in the two business lines are a little different. In Analytics, we are also looking at better utilization and bigger contribution coming from price increases because we believe that given the demand in the marketplace, there is a higher price attached to the value that we deliver. So, does that answer your question?
Joseph Foresi - Cantor Fitzgerald Securities: And I think you said 30 basis points was from operations and 50 basis points from FX. Was that correct for next year?
Pavan Bagai - President & Chief Operating Officer: That's right.
Joseph Foresi - Cantor Fitzgerald Securities: Okay. And then, just on the acquisition front, obviously, we've seen some incremental acquisitions throughout the years. Maybe you can just talk about what the pipeline looks like there? And more specifically, any particular niches you're looking to fill, if you get the opportunity? Thanks.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Sure, Joe. So I think the pipeline for acquisitions remains healthy for us. We've got multiple deals of various sizes and capabilities that we are looking at, at present. Our focus areas are to try and improve our depth of specialization within our core industry verticals. So we look at insurance, healthcare, banking and financial services. We look at growing our business within Analytics. And we're also looking at broadly diversifying our geography and our footprint and having a greater exposure to UK and Europe. So those are some of the areas that we are focused on. And we think that the ability to acquire, integrate and manage acquisitions is a demonstrated capability set for EXL. And we look forward to executing on that in 2016.
Joseph Foresi - Cantor Fitzgerald Securities: Thank you.
Operator: Our next question comes from Edward Caso with Wells Fargo. Your line is open.
Edward S. Caso - Wells Fargo Securities LLC: Hi. Good morning. Good evening. Congratulations on the numbers. Could you talk about your healthcare vertical and whether you have any exposure to the ongoing consolidation among the payers?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yeah. Hi, Ed. Thanks for that comment. For us, we continue to work with more on the payer side and the consolidation is actually not impacting us as yet. In fact, we think that there is more often opportunity. The reason for that is we work basically with all the major payers today and, therefore, as they consolidate the opportunity for us to grow with each of them is much more significant. And even the smaller payers that are getting consolidated, the penetration rate with them has been low. And therefore, the opportunity to continue to move down this path remains high for us. I would also add that, apart from the payers, we're also seeing opportunity to focusing on the provider side of the healthcare business. And that's another area that we expect to deliver growth to our healthcare industry vertical.
Edward S. Caso - Wells Fargo Securities LLC: Is it mostly in the Operations Management side? Or do you have any Analytics exposure to healthcare payer side, where maybe a pause in discretionary spending may impact you?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Actually, we serve clients in healthcare in Operations Management, as well as Analytics. But we also have technology platforms for the healthcare industry. The work that we do in Analytics for healthcare, a significant percentage of that is focused on payment integrity. And because it's focused on payment integrity and high-end analytics, we think that the ability to grow that business is going to remain high and this is not a discretionary spend that the healthcare companies have. This is hard dollar savings that these companies are making and, in fact, in periods of slower growth and a need for cost reduction, this is a big imperative for most of our clients.
Edward S. Caso - Wells Fargo Securities LLC: Can you talk a little about share repurchase exactly what you did in 2015, including Q4, and then sort of what's the trigger to get you just sort of deploy going forward? Thank you.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: The total amount of share repurchases that we did in calendar year 2015 was $14.2 million and our program is designed to be a three-year program, where we intend to have share repurchases to offset the dilution associated with the stock net issued to employees every year. In general, the limit that we have for each year is $20 million and if you take a look at our stock compensation expense, it is somewhere about $15 million. So, our expectation is that we would be somewhere between $15 million to $20 million in terms of stock repurchase every year. And we do this on a systematic basis and do it sequentially for the next couple of years.
Edward S. Caso - Wells Fargo Securities LLC: Great. Last question. Could you describe how much of your business is in annuity or annuity like form at this time, and, therefore, presumably more sticky and stable?
Pavan Bagai - President & Chief Operating Officer: Well, if you break up our business into two buckets, Operations Management and Analytics, our business in Operations Management is largely annuity-based except for the EXL Consulting business or our Business Transformation business, which is on a project basis. So, I would characterize that revenue as being closer to about 85% to 90% of our business in Operations Management is annuity-based. In Analytics, we've already shared two-thirds of our business in Analytics is annuity-based.
Edward S. Caso - Wells Fargo Securities LLC: Great. Thank you. Congrats.
Operator: Our next question comes from Jason Kupferberg with Jefferies. Your line is open.
Amit Singh - Jefferies LLC: Hi, guys. This is Amit Singh for Jason. Just staying on some of the discussion about various industries and your focus areas, most of the other industries – insurance, healthcare, banking, travel, transportation – they seem to be growing decently when you look at year-over-year basis. Some of the smaller verticals – just wanted to get your view over there – like utilities, it's declined year-over-year and sequentially, and also the other vertical, I think, which includes some of the tech work that declined also year-over-year. So just wanted to get your view on what is your long-term strategy in those verticals.
Pavan Bagai - President & Chief Operating Officer: Amit, this is Pavan here. Talking about the utilities vertical, that particular vertical has been characterized by a small number of clients with a large relationship with them. The way we are approaching that vertical is to look to – and so far, it's been restricted to energy, to electricity and gas. What we are looking to do is to tap into opportunities in other utilities like water within the UK geography and also look at a geographical expansion in terms of opportunities that may exist in the United States and Australia. So the way we view that vertical at this point in time is, it seems to be at an inflection point. And if we were to succeed with regard to this broader approach to the market, then we would see a more rapid growth there. The other opportunity in that particular vertical is the adoption of smart technology. And that opens up a number of opportunities in Analytics for us. So in fact, the Analytics component of utilities grew faster than the Operations Management component of utilities in 2015. So, I guess, the point I am making is that there is a degree of uncertainty attached to it. We believe that we are at a point, where we could either see that vertical accelerate and that's the strategy that we are adopting at this point in time. I will say that within the Analytics business, banking and financial services remains a very strong vertical for us. And Rohit talked about the dynamics within healthcare and insurance. I will say that in banking and financial services, the focus on risk management, the greater regulatory scrutiny, the focus on compliance as well as a greater degree of digitization with the idea of improving customer experience, all of these are industry factors that play into our Analytics capabilities, and that remains a highly attractive vertical for us.
Amit Singh - Jefferies LLC: All right. Great. And then, if you could talk about the trends that you've had for utilization, in both of our businesses, in Operation Management and Analytics, and over time, if it has the capability to sort of further improve your overall margins.
Pavan Bagai - President & Chief Operating Officer: Certainly, I alluded to this profitability improvement initiatives that we adopted in 2015. One of the areas that we focused on was improving utilization both of people, as well as infrastructure. In the Ops Management business, it's more a question of improving infrastructure utilization which manifests itself in the shift utilization metric. And I'm happy to report that we've seen significant improvement in 2015, but we do see a lot of opportunity to further improve that in 2016. On the Analytics side, it's more a question of resource utilization, of people utilization. Through the year, we were able to tighten management of deployment of our people. But in that particular business, there is a degree of seasonality, because you need to hire people from campuses at one or two times during the year. And then they get deployed in a uniform manner through the year. So, we do see a degree of drop, when the people come onboard, in the utilization levels, and then they sort of gradually limp up as the people get trained and deployed. But there too, on a trend basis, we are expecting to see better utilization. We did see it in 2015 and that too was a major contributor to the very sharp improvement in margins in the Analytics business full year on full year.
Amit Singh - Jefferies LLC: All right. Perfect. Thank you very much.
Operator: Our next question comes from Dave Koning with Baird. Your line is open.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Yeah. Hey, guys. Great job. And I guess my first question, just on margin expansion this year, the 80 basis points to 100 basis points, you talked about 30 basis points to 50 basis points from core and then an extra 50 basis points just from the way that the FX works. And – should we think about that extra 50 basis points as kind of a one-time in nature impact that the out-year should grow the normal 30 bps to 50 bps again in 2017? Or is that 50 basis points something that actually becomes a 50 basis point headwind in 2017? I just want to make sure we understand kind of the dynamics of that part of the guidance.
Pavan Bagai - President & Chief Operating Officer: So, well, the way to look at it is, yes, the 50 basis points FX contribution is a one-time event, assuming that exchange rates stabilize at the levels that we've assumed. The way we look at it, let's assume that they stabilize, and therefore, you won't get that in the following year. I don't see it as something that you give back or you reverse unless the currencies that we referred to start appreciating, which to us seems an unlikely phenomenon. I will say the 30 basis points to 50 basis points core improvement, we are working towards not just maintaining that, but actually accelerating that. We talked about the fact that some of our acquisitions have been at lower margins than our core business and that's actually pulled down the margin that we reported. We didn't buy these acquisitions to just add them to our portfolio of businesses. The whole idea is to leverage the synergies that they provide to our various businesses and combine and come up with products and service offerings that actually over time will help us to accelerate revenue growth as well as generate margin expansion. So as we see the full benefit of these acquisitions playing through, I think there is a degree of positive contribution from that phenomenon as well.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Dave, just to add to what Pavan has said, we do think that there is an opportunity for us to increase our gross margins year-on-year for multiple years. And therefore, the ability to enhance our margin profile is not just one year limited, but it's rather something that we would expect to see over the next couple of years. The second thing is that in 2015 as well as in 2016, we have significantly stepped up our investments in automation, robotics, product development and these increases in investments we think are reaching now an optimal level and a much more of a steady state. So as that level plateaus, again, we would be able to get the benefit of margin expansion in outer years.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Great. That's great to hear. And I guess a couple of just kind of modeling clean-up questions too. Is the new, like, the Analytics business now separated into the separate segment, is that all-U.S. revenue, or is there an FX component that we should always think about over time?
Pavan Bagai - President & Chief Operating Officer: Dave, there is an FX component. That business actually is, again, distributed between the United States and UK. There are small contributions from the Asia Pacific zone as well, but that's not significant. But – so, there is a geographical split.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): And how much about is UK?
Pavan Bagai - President & Chief Operating Officer: It's probably in line with the rest of the company. It's in the vicinity of – it's less than 20% at this point.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Okay. Cool. And finally, just, how much was Overland? I know it was a partial quarter in Q4 2015, but how much revenue was that kind of pre the anniversary?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: So, your question is, how much is the revenue of Overland annually or on a quarter?
Pavan Bagai - President & Chief Operating Officer: In the fourth quarter of 2014.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Yeah. During Q4, before it anniversaried and started to contributing to organic.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Just give us a minute, Dave, and we'll get you the number.
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Oh, thank you. And if you want to take the next question and just...
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yeah. Why don't we come back to this, and we will provide that to you?
David J. Koning - Robert W. Baird & Co., Inc. (Broker): Yeah. That's great.
Operator: Our next question comes from Frank Atkins with SunTrust. Your line is open.
Frank C. Atkins - SunTrust Robinson Humphrey, Inc.: Thanks for taking my question. I wanted to ask a little bit about sales capacity and marketing expense as you allocate that across the two segments, Operations Management and in Analytics. Any focus or differing strategy there?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: No. I think for us, we are continuing to invest broadly in adding more feet on the street and hiring more experienced and domain-centric resources to help us go deeper into the industry verticals. One of the things that we've seen is as our clients look at a complete redesign of their operating model using digital technologies, the understanding of the domain is becoming even more important and critical, and at the same time, the ability to apply the functional knowledge of how to use technology and emerging technologies and robotics, and apply that to middle and back office operations becomes critical. So, we are hiring folks within our front-end, which have got, not only deep customer relationships and understand the domain well, but those that can exhibit a much better understanding of the application of technology to the redesign of the operating models of our clients.
Frank C. Atkins - SunTrust Robinson Humphrey, Inc.: Okay. That's helpful. And in terms of Analytics, you mentioned that banking and financial is slightly more exposed, I believe, than other verticals. Would you expect, as the Analytics continues its rate of growth, that vertical would be a larger piece of the pie?
Pavan Bagai - President & Chief Operating Officer: We would expect the banking and financial services segment to keep pace with overall growth of the Analytics segment. We also see great opportunities on the capital markets side, in the retail sector, in healthcare itself and in insurance and utility. So it's a pretty broad-based growth opportunity in Analytics. Any industry that is digitizing and generating high volumes of data at high velocity lends itself to an Analytics opportunity. So I believe the banking and financial services sector, there too, the initial growth impetus happened because of the greater regulatory scrutiny and the focus on risk. But now, we are seeing opportunities open up on the marketing side. So within each vertical, also, there's transition that takes place across different functional areas as we move from risk to marketing from middle office to the front office. So we're really excited about the opportunities in this area.
Frank C. Atkins - SunTrust Robinson Humphrey, Inc.: All right. Great. Thank you.
Pavan Bagai - President & Chief Operating Officer: We've got the answer, Rohit. So the Overland revenues in quarter four 2014 was $12.2 million.
Operator: And our next question comes from Bryan Bergin with Cowen. Your line is open.
Bryan C. Bergin - Cowen & Co. LLC: Hi. Thank you for taking my question. Just back on to the outlook by verticals, within financial services, you mentioned the Analytics' strength, some peers have cited some weakness there. Have you see anything within the discretionary and project-based spending, I guess, within the Business Transformation that might indicate a pause or anything there, any tentativeness by clients?
Pavan Bagai - President & Chief Operating Officer: So as far as the risk, the regulatory, the compliance businesses are concerned within Analytics for banking and financial services, those are pretty much not discretionary, because they are mandated by regulation. So, those opportunities that we expect to continue to be open to us. The trends with regard to disruptive technologies within the financial services area, they provide us opportunities as well. So, there is a degree of give and take. While there may be constraints of discretionary spending on marketing in traditional banking organizations, we see opportunities opening up for us in financial services companies that are adopting newer models. So, we actually remain confident that this will continue to be a significant component of our portfolio of businesses within Analytics. So, we don't actually characterize that particular segment as one that is slowing down.
Bryan C. Bergin - Cowen & Co. LLC: Okay. And just one more on RPM, the integration and the cross-selling efforts there, how that's gone relative to plan? And any color around increasing the number of services per client?
Pavan Bagai - President & Chief Operating Officer: That integration is going well. So, there are two or three objectives that we had when we made that acquisition. One was to take RPM services to the legacy EXL insurance clients. We are seeing that getting traction and we've actually seen some wins in that area. The other was to see whether RPM's offerings could be adapted to healthcare and other industries within the U.S. On that, we haven't really got going on that at this point in time. We are also looking at expanding RPM's offerings into other geographical markets like the UK. And I think that's a work in progress for us. A very significant opportunity that exists for us is to create new product offerings that combine the RPM business model with the Analytics capabilities that we have or had within EXL. And we are making some significant progress on that as well. In fact, Rohit, in his prepared remarks, talked about a case study that we'd leverage RPM technology and their operating model to provide some really cutting edge real-time analytics for an insurance client. So, all in all, it's doing well, but still a lot to come.
Bryan C. Bergin - Cowen & Co. LLC: Okay. Great. Thank you.
Operator: Our next question comes from Vincent Colicchio with Barrington Research. Your line is open.
Vincent A. Colicchio - Barrington Research Associates: Yeah. Just one from me. My other questions were asked. Are you seeing increased competition from the IT services firms, given your relatively healthy growth?
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Yes, Vincent. I think the competition from the IT players continues to be there. What we are seeing is that the synergy between IT services and BPO services, that's not manifesting itself into any real value for the customer. And therefore, the threat of the combined IT services and BPO services being integrated together seems to be not there. We do see the competition come in based on relationships that the IT services companies have, as well as their domain capabilities in BPO, where they would compete against us with. I think, what we have been able to do is to go deeper into our chosen domains and build up more capabilities around the use of automation and analytics. And that allows us to be a better partner of choice for our clients.
Vincent A. Colicchio - Barrington Research Associates: Thank you. And congrats on a nice quarter.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Thanks, Vincent.
Operator: And I'm showing no further question. I will now turn the call back over to Rohit Kapoor for closing remarks.
Rohit Kapoor - Vice Chairman & Chief Executive Officer: Thank you, operator. I just want to thank everybody for joining this call. We greatly appreciate the time that you've spent with us. EXL is in a terrific position right now and we've got strong momentum behind us, and we see the demand opportunities to be very robust and fulsome. We look forward to executing on a great 2016. Thank you. Bye-bye.
Operator: Thank you. Ladies and gentlemen, that does conclude today's conference. You may all disconnect. And everyone, have a great day.